Merton Kaplan: Good day, everyone, and welcome to Saab's First Quarter Financial Results Presentation. My name is Merton Kaplan. I'm here in the studio at our headquarters in Stockholm. And with me here today, I have our CEO and Micael Johansson; and CFO, Magnus Örnberg. We'll start the presentation with an overview of the business and then followed by a financial overview. And then we will, as usual, go into a Q&A session and open up the word -- floor for questions from our telephone conference audience and also questions from the online on our website. Don't forget that you can send us your questions during the presentation. With that, I'd like to give the word back to Micael?
Micael Johansson: Thank you, Merton, and thank you all for joining us this morning. It is unusual and challenging times. And I will, of course, come back to how Saab is performing in the context of COVID-19 and the mitigation actions we are taking. But of course, I will start with some highlights and a summary of the first quarter. It is a strong quarter, I think. We have increased our order intake compared to the first quarter last year with more than 8%, and we have especially seen a further development of the smaller orders growing, which is extremely good for our foundation going forward. It has been the second-best first quarter ever for Saab and on the sales and revenue level. And we have been able to perform many important milestones during this quarter, especially within the defense-related business in all our programs. This is also a quarter that in the context of our overall strategy is an important piece. We still have a strong backlog supporting our revenue over this year, and a substantial part of the revenue this year will come from our order backlog. So we see a continuous growth going forward. The earnings have developed fine, and this is also one of the best first quarters we've had ever on the profitability level. And that is also, of course, connected to all the perform milestones and the work in all the projects that we have. We have had some effects and implemented actions in the non defense-related business, and I will come back to that. Looking at some of the important milestones. I think we look at the Gripen program. We have done tremendous progress on the two city program for Brazil and also in the Gripen E for Sweden. The GlobalEye Airborne Early Warning platform is now approaching delivery and all the milestones on that side has been performed according to plan. We have also seen good progress in the transformation from development into production on the submarine side. And now the T-7 aircraft, which is the training aircraft together with Boeing that we have a program, have been progressing extremely good also in Linkoping Sweden. One really interesting thing, which we're really proud of is that this is the first time we have flown our full AESA radar on the fighter side, the active electronic scanned antenna array radar, so now we have a fully new radar that we have test flown in the Gripen D aircraft during this quarter with excellent results, and that test program is going to continue going forward now. So going into the second quarter, we have great confidence and a strong backlog, and we are continuing to perform excellent, I would say. Looking at the COVID-19, of course, there is great uncertainty, and that is also the reasons why we have decided not to reconfirm our guidance. It is impossible to understand the scope and the duration of this crisis, of course, and how it exactly would affect the world economy. So far, we have seen a very limited impact on the Saab business because, I mean, the defense-related business, which is more than 80% of our revenue over a year is progressing really good according to plan. We've seen some impact on the civilian side, especially the civilian aircraft business. As you know, the the airlines has more or less stopped flying, and that affects, of course, the civilian aircraft business. And we are a Tier 2 supplier to them, and we have to adapt then to the production rates that they are providing us with. So we have implemented furlough and short-term leases in that area. We see some effects also on the traffic management side and the Saab Combitech consultant business. But overall, I would say that the impact has been very limited on the Saab business overall, and especially the defense business is performing excellent. We have done measures, of course, listening to the authorities, recommendations and also the government directions, directives. So of course, the well-being of our employees is the most important thing. We have implemented ways of keeping social distance in the workplaces of course. And some people are working from home, even though our type of operation is a little bit different since we have lots of production but also classified environments, which is absolutely not possible to work from home, doing that. So it's a little bit different. So we don't have a great portion of our workforce working from home as we speak. Much of the operation is actually up and running as planned. And I think we have done an important thing as well in strengthening our flexibility, making sure that we have credit facilities and liquidity, and we go into the second quarter with great financial strength, I would say. On the market side, we haven't seen any sort of signals in terms of that programs have been discontinued or deferred in any substantial way. We, of course, have limitations by not being able to travel, but it's really good to have now an international organization with people in many countries keeping up the dialogue with all our customers, and we are in negotiations on several large contracts as we speak, even though we must do that in different ways than earlier since we can't travel, sort of, outside Sweden. In the commercial market, we have seen, as I said, a sharp decline, but that has not been seen in the defense-related business at all. When it comes to the marketplace, we did excellent in the valuation tests with the Gripen E and the GlobalEye earlier in the year, connected with the Finnish procurement of fighters and potentially Airborne Early Warning aircrafts. We have contracts on the training and simulation side in the U.K., important with the British Army. And the U.S. is progressing well with good contracts on the -- within the framework contracts that we have in these countries. Some contracts also from Sweden, preparing for the next-generation of the corevetts. We have definition contracts for that. And we are still involved in all the campaigns when it comes to the fighter side, the Canada campaign, the Finnish campaign and also a couple of others. So the market is still -- market activity is still high. We have to find different ways to keep the dialogue with the customers open, of course, since many are sort of in a locked down and working from home, but we find our ways forward. So looking at the financial highlights, as I said, the order bookings have increased which is really good to see with 8%. And also the revenue is really a good one, on par almost with last year, but actually the second best quarter ever, as I said. Good profitability level as well. Operating income, also one of the best first quarters ever we've seen. And the cash flow is completely according to plan. This is a combination of working capital in our -- increases in our big programs, of course, and the amount of milestones that we had in the first quarter. And the result is this minus SEK1.5 billion roughly in cash flow. That is absolutely how the quarter was planned, and already in the second quarter, we see milestones that we can pass that will improve the cash flow. And we have said that we still have the ambition to generate a positive cash flow over the year. And the trend, as I pointed out, has been good on the revenue level and the sales level. And this is according to our strategy to grow the Company, of course, and it's a strong first quarter in that respect. So it's an important piece of our strategy going forward. And the same thing is true for the operating income. So we are on our journey towards our long-term financial targets, which we are still very much committed to, and we haven't abandoned our strategy. We continue according to that, and I will come back to that shortly. So we have, in summary, had not a great impact from the COVID-19, very limited, actually, as I told you, and mainly in the civilian side of the business. But again, the uncertainty, the duration of this, and I don't have the crystal ball either on how long this will continue and how long certain countries will be in lockdown, how it will affect eventually our supply chain. We do have strong backlog. We do have long-term programs. We have a reasonable stock from our suppliers in-house. So we will continue to execute in a good way. But again, the uncertainty and the visibility into this crisis is a problem. We can generate scenarios, but we do not know what scenario is correct. So that's the reason why we have decided not to reconfirm our former guidance at this point in time. And finally, from my side then, I want to point out that there is no deviation from our strategy. We continue to work diligently in all four perspectives; portfolio, market, performance and innovation. And many important steps have been taken in this quarter. We have implemented a new market organization, and we have our local people in the marketplace. We are focusing on a few strategic countries going forward, being U.S., U.K. and Australia, and they have defined our type of business as sort of a important part of critical infrastructure and an important part of society at this point in time during the crisis. So those countries have operations up and running, even though many are working from home and other parts of the country are in lockdown. We continue our work with our portfolio, optimizing that, and we have gone through several assessments during the quarter and taken decisions on that side. We have implemented our innovation labs now prioritizing certain technology areas because technology's pace is so quick nowadays. So we put a lot of effort in that. And we are continuing our R&D efforts. And then again, performance is essential to us. And we're doing well, but we still have measures to do to take us even further when it comes to being more profitable and efficient in our big programs. So the quarter is an excellent piece of our continuing long-term strategy, and we will diligently continue to work with that going forward. So that is a summary of the first quarter from me I'm very proud of the quarter and very satisfied. And Magnus will now go into a few details when it comes to the financials, I will hand over to him.
Magnus Örnberg: Thank you very much, Micael. And let me run through the financials, and I will start with a super summary, as I normally do. And with the turmoil now in the world, we are delivering a solid Q1 performance. And we have also managed to keep the COVID-19 impact low, and thanks to everyone who has contributed in the Company with that this quarter, fantastic work. We have an increased order intake, 8%. That's good. Sales is high, and we are delivering well on our project. The earnings are stable. And for the group level, I will dig into the details per BA, but -- and that is very much due to the performance in the projects this quarter. Yes, we have an uncertainty and low visibility going forward, and that's why we have decided to to withdraw the outlook as we stated it, but we are going in the second quarter with a very strong backlog, and I'll come back on that. Cash flow in Q1, very much according to plan. And here, I will also point out some of the reasons why it looks the way it does in Q1 and what we believe going forward. And we have a strong financial position, and we have also secured a good liquidity situation going forward. Backlog, one of our most important KPIs. We went in the year with something like SEK29 billion to be executed in the -- this year. And now when we estimate after Q1, we have around SEK22.5 billion more to execute throughout the year. That is good. It's more than it was one year earlier, and supports our -- very large portion of our volume throughout the year. And also if we lift our eyes a little bit and look into the -- a little bit further in the future, we can also see that we have a good backlog for 2021. So already now, we have some SEK23.5 billion to be executed next year. And that is couple of billions actually more than it was one year ago. So that is a good support going forward. If we look at the order bookings per business area, we can see that several increases. We also see the small orders continue to grow. And here, it's good to see that we are managing to do that plus 4%. This is probably the area where we have the least visibility going forward. And -- but so far, we have managed to grow those. And when it comes to the backlog, it is solid, and it's also supporting the continuity in the operations and for future growth. So that's good. Sales. Overall stable development in operations, and we are relatively fully loaded. The Gripen programs are proceeding according to plan. We have -- we are slightly lower on sales, and this is mainly due to the revenue recognition between the quarter. So very much according to plan. Dynamics, also lower and even though we have full production in Dynamics, and this is mainly a timing of delivery. And last year, we had a big delivery in Q1. And this year, the deliveries are more towards the quarters going forward. So that will, in itself, be managed going forward. And for the rest, we are roughly in line with the previous year. When it comes to the operating income, obviously, volume is important. And we can see here that in Aeronautics, we are a little bit lower. This is mainly driven by volume, and very much related to the timing of the planned execution and the work in the program. And the same goes with Dynamics. So that will also change over time. Very good improvement in Surveillance margins and operating income. Last year, we had a tough first quarter. This year, we have a better-than-average quarter, I would say, due to good project execution, so well done there. Support and Service, a little bit of a mix. We have a relatively good volume, but the project mix is giving us this quarter a little bit lower margin. I believe this will correct itself when we see the mix shifting back. And we have also a part -- some impact also from the slowdown on the -- in the aviation market. Of course, where we have the biggest impact so far is in IPS, where we are impacted by the sharp downturn in the civil and commercial aviation business. And here is also where we have taken most of the actions to mitigate that downturn. But of course, this is where the market is impacting us the most. Coming back to cash flow. We have a quarter where we are generating cash from operations. We have an increase in working capital. And this is mainly due to that we have no planned major milestone in Q1. Of course, we have several major milestones throughout the year, and that is why we are reiterating our cash ambition. We are working in a good way in our large programs, and that's why we are building up the contract assets and liabilities above SEK2 billion. Of course, this should then turn into cash going forward. And also, the inventory buildup is -- in Q1 is also to prepare for deliveries, I would say, mainly in Dynamics where we see growth going forward. We have a good collection in the quarter. We have continued investment on the same level, I would say, as previous year, both in fixed assets and capitalized R&D. And we have several deliveries from now on planned for 2020 and with corresponding cash impact. So that's why we are reiterating our cash ambition for the year. And as Micael said, even in the near term. So this is according to plan what we now see. The financial position. Yes, we had some SEK7 billion in net debt going into the year. We are now SEK8.5 billion. This is, of course, due to the cash flow change in the quarter, and also very much according to the plan. What we have been doing in Q1 is to further secure our financial flexibility. We have signed a new revolving credit facility in the first quarter. We have also handled the maturity of bonds in Q1. And I can say now that we have no more maturity of any bonds for this year. So we have handled all of that already in Q1. And at the same time, we have a good cash buffer. We have a liquidity of around SEK6 billion and committed unutilized credit facilities of more than SEK8 billion. And that was, of course, the reason why we did this RCF to create this buffer to prepare for uncertainty and the lower visibility going forward. So -- and a good equity-to-asset ratio as earlier. And the focus going forward, of course, safety and well-being of our employees, top priority that we -- of course, number one. Executing our delivery of projects, very important, and we have so many things to be delivered throughout the year now and to secure, of course, targeted orders. Of course, the backlog also needs to improve. And then all of these should be supported with a strong financial position to manage the liquidity and going forward. So with that, I would like to open up for the Q&A.
Merton Kaplan: Thank you very much, Magnus, and well, good walk-through of the quarter. Now it's time for the Q&A. So, we're going to start taking questions from the teleconference. But also, I can already see we have some good questions from the audience online. So, I would like to -- before I hand down the questions to the moderator, I would like to just inform everybody who is asking questions, please take a question at a time so everybody gets a chance to ask questions and we'll get back to you, if you're on the line again. So with that, moderator, please open up the Q&A.
Operator: [Operator Instructions] The first question we have is from the line of Douglas Lindahl from Kepler Cheuvreux. Please go ahead.
Douglas Lindahl: I'll limit myself to one question in that case. I wanted to understand the main components that you find more difficult forecasting the full year, I guess with regards to your withdrawn outlook statement, this was mainly referring to the infra out orders that needed to be up year-over-year to around SEK5.8 billion in order for your topline to grow in line with the previously communicated 5%, but my assumption is now that the COVID-19 obviously makes this more difficult. In this context, was Q1 order intake in line with your internal order intake expectations? And would it be fair to assume that group margin for the full year still expands year-over-year as Aeronautics moves into that delivery phase, and Dynamics also continues to grow order intake here in Q1? Maybe that was two questions.
Magnus Örnberg: There was one question.
Micael Johansson: Well, I can start. When it comes to sort of the full year and us not confirming now, again, the guidance that we gave earlier. I mean, the first thing I think of is to sort of how to interpret where the supply chain is going. How quickly will the different parts of our global supply chain in different countries actually get up and running again. It looks completely different in different countries. In the U.S. and Australia, for example, we do have sort of some priority to these type of companies, but they are not completely up and running. Some countries are completely locked down. It's difficult in India. It's difficult in South Africa, which is also under complete lockdown. So it is sort of our visibility to understand, even though we look at this on a daily basis, we have mitigating action going to create redundancy and second sources and help our supply chain, to some extent, to get going. It is not possible in this context of COVID-19 to forecast exactly how things will evolve. Even though we have strong backlog, supporting a majority of our revenue this year, it is -- you can look at different scenarios, and we can do our estimates, of course, based on that, but we cannot say for certainty that we understand which scenario is correct from a supply chain perspective. On top of that, of course, I cannot judge, will we have more absence and sick leaves within the different sites going forward, both in Sweden and elsewhere. And so it's -- all in all, I mean, I don't have the crystal ball. And we -- for this point in time, we cannot confirm our guidance, but we work it diligently, of course, every day.
Magnus Örnberg: I can complement a bit on your question as well. You asked about order intake, they are very much in line with our plan for the first quarter. And as we have said, we go in now in the second quarter with a very strong backlog and with very clear deliveries in the quarters to come. So if we can just get the supply chain as we have planned and people working, then we look positive towards that. You also asked about the Aeronautics margin and I think we have commented a bit on that before that this year is roughly similar to previous year, I would say. And as we are in a buildup on the production phase, we will deliver and get the first serial produced aircraft in the air towards the end of this year. So, we are still in that buildup phase.
Operator: The next question we have is from the line of Peter Kael Laséen from Carnegie [ph]. Please go ahead. Please go ahead.
Mikael Laséen: Mikael Laséen here. I hope you can hear me. Yes, I would like to delve more how you see the aerospace side. That's, I think, 6% of group sales. What is the situation right now? And can you update also please on the exposure you have in this area?
Micael Johansson: Okay. I can start again. Again, it's a limited part of our business, as you mentioned. And we are adapting, of course, to our customers' rates based on that. So there are no sort of clear messages or it's changing all the time, how quickly will our customers on the civilian aircraft get up in substantial rates again, will that take years? Or will it take sort of a year or will it take months? I don't know. We all know that airlines have stopped flying. They do have a backlog, but will that change? I don't know. I cannot judge that. We talk to them all the time. We get more and more information, of course. And the exposure is that we just have to adapt to workforce. So we follow them when it comes to the rates. And we do that on a monthly basis, more or less. Now we have a furlough of roughly 500 people now working short-time weeks. And if we need more, we will do that sort of immediately to adapt to their rates. But this is a continuous dialogue. And I don't have sort of -- even on that side, a sort of a really sharp sort of forecast from them.
Mikael Laséen: Okay. Just a quick follow-up. Are you continuing to deliver in Q2, so the visibility for Q2 should be relatively okay? Or...
Micael Johansson: You mean on the civilian side?
Mikael Laséen: Yes.
Micael Johansson: Yes, Yes. Absolutely. Production in all aspects are up and running. This is adaptation. We lower the rates. But the operations is up and running. So we are in production, and we are delivering. It's just sort of the pace of things that has changed. And that goes for everything. I mean, all our production sites are up and running. Operations as a whole is up and running, and we go into second quarter with great confidence with what we see now. And we have reasonable stock from our supply chain to continue. Absolutely, it's more sort of what happens in the slightly longer-term that we cannot judge based on the COVID-19.
Operator: The next question we have is from Erik Golrang from SEB. Please go ahead.
Erik Golrang: I have six questions. I'll do one then. But on factoring, you turn to factoring again in the quarter sold some receivables. Yet you talk about the expected milestone payments in the second quarter. What was the reason for turning to factoring again in Q1?
Magnus Örnberg: Yes. As you know, we have that program that we can utilize on and off. We do it when it makes sense from a cash flow perspective and timing. And for example, just to -- how we think about that in Q3, we had -- we utilized it last year. But then in light of the big collections and milestone payments in Q4, we reversed that. And I think it's more of a cash planning and liquidity planning activity than anything else. And we did around SEK0.5 billion in Q1. So...
Erik Golrang: And should we expect a similar situation as in Q3, Q4, i.e. that this is reversed in Q2?
Magnus Örnberg: Yes. I think that at least has been our strategy for how to utilize that program, and I think it makes sense also to balance it with a large milestone payments. So yes, it's my view.
Operator: The next question we have is from Agnieszka Vilela from Nordea. Please go ahead.
Agnieszka Vilela: I also have a couple of questions, but I will limit myself to just one. You say that the COVID-19 impact mainly affects your civil business, yet when we look at the kind of sales development in the quarter, we see quite negative impact in the Dynamics and also Aeronautics, whereas IPS is actually holding quite okay. Can you just help us to to understand this trend? And what should we expect going forward?
Micael Johansson: Yes. Well, I must say that when you look at aeronautics and dynamics, it's absolutely sort of the profile of their programs. And Dynamic is a timing thing. They are really up and running when it comes to production, full speed ahead. And then it's -- the deliveries will define when the revenue will be recognized. That's the way it is. And those deliveries are planned over the year in a certain way. Aeronautics has its profile in the programs, depending on certain sort of activities in the different programs like the Gripen E and the Gripen Brazilian program, so that's also the profile of the Aeronautics business. It's not exactly the same every quarter, depending on what type of things go through the organization in terms of recognition of revenue. So that's completely according to plan. I would say IPS would probably have been even higher if we hadn't had the effect of this. So we see some limitation in revenue, even though it has increased, but it should have been even higher if we hadn't had the effects, and as a consequences of that, we see some under absorption instead, which then affects the margin. So that adds my comment. Now you can go into detail.
Magnus Örnberg: I can like now say the correct. No. I will give the feedback similar. I mean, we have -- in those two business areas, we are basically running full speed. And Aeronautics, the timing difference there on is mainly on when certain material flows through the P&L or the exact number of hours booked on the program. So this is more of a timing issue. And I have no other comments on that. Dynamics, one way to look at it is you can also look at the cash flow in Dynamics in the first quarter, which is negative, large extent. And this is very big buildup of working capital. So we are producing at high-speed and fully loaded, and which should come out later on. So that's why we are saying that those are really not affected by that.
Agnieszka Vilela: So you expect much better sales momentum from these two businesses?
Magnus Örnberg: Correct.
Agnieszka Vilela: In the coming quarters? Yes.
Operator: At this time, I'd like to hand back to the speaker for any web questions.
Merton Kaplan: Thank you very much, operator. We have a couple of questions here from our viewers online. I would like to start with here, Pavan Daswani from Citigroup in London. He's asking, how do you think about the Gripen deliveries to Sweden and Brazil this year. Is everything going according to plan?
Micael Johansson: Yes, it is. The programs are going exactly according to plan, and all the milestones have been passed in Q1, yes. So I'm confident in them.
Merton Kaplan: We have another question here from a person asking, will the GlobalEye to UAE be delivered in the next quarters, as stated previously?
Micael Johansson: Yes, it will. There's a short answer on that one.
Merton Kaplan: Yes. Thank you. Another question here from online audience. One person is asking here, what's the plan exactly to overcome potential supply chain issues?
Micael Johansson: Well, it's a complicated question. The question is not complicated, but it's it's a global supply chain. And as I said, it looks a bit different in different countries. And then again, if you look at the supply chain, some parts of the supply chain are complicated subsystems where we have had a long-term relationship, which is not so easy to create redundancy on and there, we make sure that we work with the companies to overcome any hurdles on lockdowns or how quickly they can come up and running again. Other parts, it's, of course, possible to create sort of second sources and mitigating delivery problems because we can find other suppliers. So it looks completely different based on the product structure as such, but also it looks different in different countries. So it's not one easy answer to that, but I can assure you that we work with all these mitigation actions on a week and daily basis. And I get reports every week, which is comprehensive in terms of mitigating actions towards our supply chain.
Magnus Örnberg: And also to keep close contact, I think, with the suppliers. And I think we are and have never been as much in contact with them and planning and forecasts and what can be done and all that. So I think it's also hard work. Yes.
Merton Kaplan: Very good. Thank you. I will have one more question from the web here that I received. And I'll pass it on to the moderator after this. We have a person here asking about the T-X program or the T-7A in the U.S. with -- together with our partner Boeing. So what's the status there? And what can you tell us more about that order that they have received? How you comment on how that's going?
Micael Johansson: The T-7 program, as it's called now, it's really performing well. This has been an important quarter for our so-called EMD phase, which is more or less the industrialization phase of our part of the aircraft in Linkoping. And we have started now production of the five entities that we will produce in Sweden before the production is then transferred to West Lafayette, Indiana. And the buildup of that facility in West Lafayette has started and already later part of next year, we will see sort of tooling and things come into place and then early '22, we'll start seeing outputs from that factory. And we are under contract for the so-called EMD phase. And then the frame contract is sort of almost 400 aircraft for the U.S. Air Force. And nothing has changed. Apart from the market interest, of course, that is substantial. So we work Boeing in the marketplace as well. Several countries are interested in this platform. I have continuous dialogues with the Boeing Defense leadership on the progress of the program. And together, we can just conclude. It's going really well.
Merton Kaplan: Good. Very good. So we go back to the line on the telephone moderator and take the -- some few questions.
Operator: The next question is a follow-up question from Erik from SEB.
Erik Golrang: I'll do two questions this time. There was a step-up in CapEx in the quarter, both tangible and intangible after a period of that actually flattening out and starting to decline. Is that a trend break?
Magnus Örnberg: No. I think it's -- my view is that this is roughly in the same level as previous year. It can vary a bit between quarters. Of course, this is when the CapEx comes into the books is, of course, when you're done with the investments. So it's more of a timing issue. And so a similar level, as we, I think, also commented after Q4 also. So it should be similar levels. Otherwise, it's a timing issue.
Erik Golrang: Okay. And then a follow-up on the delivery question to the UAE on GlobalEyes? What about the order that is yet to be signed? What's the status on that one?
Micael Johansson: We're still in -- as planned in negotiations. It's sort of a comprehensive contract, as you understand, in all aspects. So but now we keep sort of the dialogue going and negotiation going locally even if we are in this COVID-19 situation. So nothing has changed. It will just sort of take the time it needs. And we are pursuing that as planned. And we will, of course, inform you when we have finalized.
Magnus Örnberg: Yes.
Operator: The next follow-up question is from Peter from Cargnegie.
Mikael Laséen: Mikael here again. A couple of questions also, if I may. The first one is on the Company you have in the U.S. together with Maxar, Vricon. Can you say something about the performance in 2019? It's part of the the annual report, and it looks like a very impressive performance. What is driving this? And what is the outlook for the Company?
Micael Johansson: Well, I mean Vricon is a company, which is then more or less 50-50 owned between ourselves and Maxar then, is performing really well. And I think it's taken us now. I think many customers have started to realize what this really accurate -- high accurate and high resolution 3D imagery can give you in many applications in terms of guidance, navigation and what have you. So -- in many applications. So we're really pleased to see that, that the Company eventually took off. And I see a great future for that company, absolutely.
Mikael Laséen: A quick follow-up just on the margin. Was there any one-off positive things in 2019? The margin was 45%, if I remember correctly.
Magnus Örnberg: Are you still at Vricon now? Or...
Mikael Laséen: Yes.
Magnus Örnberg: Yes. No, there is no -- it's more of a volume thing. It's -- I think the margin improved significantly with the volume there, and the volume increased significantly throughout the year. Yes.
Micael Johansson: They got a few large contracts, I mean, for them, large contracts. And of course, this is crunching data and software sort of associated activities. So margins will be good.
Mikael Laséen: Okay. Okay. Good. Just one more, if I may, on the number of employees. It increased a bit now in Q1 and primarily for Dynamics.
Micael Johansson: Yes. And this is because the success on the training contract that we had last year in the fourth quarter. We're taking all the management of the Army training in Germany. The GUZ contract it's called, and that added a number of employees in Germany, slightly more than 200 employees. So that's the jump.
Magnus Örnberg: And that came in, I think, 1st of March, something like that, right?
Micael Johansson: Yes.
Magnus Örnberg: 1st of March, I think.
Micael Johansson: The employees.
Magnus Örnberg: The employees, yes.
Operator: The final follow-up question is from Agnieszka from Nordea.
Agnieszka Vilela: Perfect. I have two follow-ups. The first one is on the performance at Surveillance, which had quite good margin in the quarter. How sustainable is this profitability improvement? And what was driving that?
Magnus Örnberg: The -- like I said, probably last year, we had too low margin, I would say, because we had some project issues that we resolved. And this year is probably on the other side, a little bit maybe better than we might have seen in the beginning. But we have always said that Surveillance should be above-average -- above group average margin. Of course, nothing is exactly the same every quarter. But -- so I would say, a good quarter, and that's how I would stress that one. I don't know if you want to -- and -- but it's all linked to project execution in the large contracts.
Micael Johansson: No, I don't really have anything to add. I mean, it is, I should say, a business area that should be above-average margin for Saab. And they have improved the performance on project execution, and that's the whole reason and especially in some projects. But it's -- the trend is really good within Surveillance.
Agnieszka Vilela: Okay. Perfect. And then my last question is on the cash flow progression that you expect in 2020. You expect positive cash flow for the year. And you also say that you will get some milestone payments in Q2 already. Can you give us a bit more color about the cadence of that cash flow. So maybe you could comment on the total milestone payments that you expect right now for the year. What will happen to contract assets and so on? And also, should we then expect positive cash flow already in Q2? Is there any kind of postponement risk to these milestone payment and so far? So if you could be more granular when it comes to cash flow outlook.
Micael Johansson: I don't think I will be so detailed so that you will be satisfied completely with the answer. But I can say that we have deliveries from programs running in our backlog over the year that then constitutes a big portion of our revenue, but those are also -- have delivery -- deliveries, actual deliveries that are associated with substantial milestone payments. So I would definitely expect a good improvement in the second quarter already. As far as that, I can go. And even though, as you know, our deliveries can be digital and large payments at certain points in time in a sensitivity analysis overall, I'm confident that we will be able to generate a positive cash flow over -- during 2020. And I think that's all I can say right now.
Magnus Örnberg: Yes. And it's difficult to comment on the specific milestone, but it's all connected to these bigger deliveries, I would put it. And you're commenting on the contract assets. Of course, this is very much linked to that. And the contract asset basically is building up work that we have not just invoiced and cashed. So this is exactly -- so when we do a big delivery, the corresponding decrease in contract assets will happen and we will invoice and the cash coming. So that's how that mechanics works.
Agnieszka Vilela: And today, you have almost SEK14 billion in contract assets on your balance sheet. And just two years ago, it was SEK10 billion.
Magnus Örnberg: Yes.
Agnieszka Vilela: So any kind of idea how this can develop during the year?
Magnus Örnberg: Yes. And this linked to what we just said has to go down with -- in light of the deliveries. And this is mainly connected to air Surveillance and Gripen programs. This is absolute majority of that.
Operator: Thank you. At this time, I'd like to hand back to the speaker.
Merton Kaplan: Thank you very much. We have some time to take three more questions that we have received here. And I have a investor here who would like to know your thoughts about the Swedish government's planned increase in the defense budget. Is this still something that you look into and expect?
Micael Johansson: Well, of course, I follow the negotiations as far as I can through media and so forth. They are ongoing. That's as far as I know it, and I know the scope of the negotiations. And I hope as much as possible, we'll be -- can get sort of be fitted within the scope of the budget. There has not been any signals that, that will be reduced. I think they're working with the amount they agreed, the SEK85 billion. I don't know what will happen on the civilian side of the defense. So I expect going forward that there will be in sort of requests for investments on that side. But all in all, I think they are diligently negotiating the content of the defense bill as we speak. And I don't know exactly what will fit in it. But we, of course, we will try to be as relevant as possible to what's in it when they have decided and continuing being an embedded part of the Swedish defense.
Merton Kaplan: Good. Thank you. We have a bit more maybe difficult or different sort of question here from David Barker in London from Bank of America. He's wondering about the -- given the build rates for the civil aircraft cuts, especially customers like Airbus and Boeing. Are you planning to take any actions to restructure your business, your civil business?
Micael Johansson: But we -- as I said, we continue to follow their expectations of production rates from us. And if we take -- need to take further actions to adopt sort of the workforce or how we perform that operation, we will do that to follow them. Then what is going to happen and what their predictions are, that's more difficult to know.
Merton Kaplan: Good. And a final question from a private investor. He is interested in Saab's cloud service, EGIRA, and he is wondering, is everything running according to plan? And what is your main customers there?
Micael Johansson: No, no, absolutely, running according to plan. And there is a product now that we can offer in sort of secure cloud environments, I would expect sort of tactical clouds in the defense environments and government authority type of clouds is, of course, the market that we approach, and that is starting to happen now, and I'm really positive and on the way forward there.
Merton Kaplan: When are you expecting to launch it?
Micael Johansson: Well, it's possible to discuss with customers today. It's an existing product. So that's happening already.
Merton Kaplan: Okay. Perfect. Thank you. That's -- I think we are at the end of the Q&A session, and I'll give you -- the word back to you, Micael.
Micael Johansson: Two things then before we end this conference, I want to say to our employees as well that you are performing a tremendous effort to keep our business going under these circumstances. And I really appreciate that, and I've been visiting many of our sites lately. And it's great to see what kind of sort of mindset our employees have to make -- to keep this going. And I want to say that. I really appreciate that, that's important to us. Second thing, as you know, we announced earlier that Magnus will actually leave as CFO for Saab. And so this was your last -- at least in this company, the presentation of a quarterly result. And I want to say that to you, Magnus, a big thank you for -- I know you have instrumental to us in growing this company, making it more efficient, working diligently with our capital and our finances. So officially, I want to thank you for all these years, and I wish you all the best now going forward. And to sort of show this online as well, I want to give you some flowers. Thank you so much, Magnus.
Magnus Örnberg: Thank you very much. Thanks.
Micael Johansson: Thank you. That's the first-hand shake I have had in four weeks.
Magnus Örnberg: I think we can do it. Yes. Thank you, everyone, and I've been super happy to be part of this company for these years and a fantastic journey. Thanks to my team and also to my colleagues and all employees. And then I wish you and everyone, good luck in the future.
Micael Johansson: Thank you.
Magnus Örnberg: And I will be watching.
Micael Johansson: I am sure you will.
Magnus Örnberg: Thank you very much.